Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Climb Global Solutions Financial Results for the Third Quarter Ended September 30, 2022. Joining us today are Climb's CEO, Mr. Dale Foster; the company's CFO, Mr. Drew Clark; and the company's Investor Relations Advisor, Mr. Sean Mansouri for Elevate IR. By now, everyone should have access to the third quarter 2022 earnings press release, which was issued yesterday afternoon at approximately 4:05 p.m. Eastern Time. The release is available in the Investor Relations section of Climb Global Solutions website at www.climbglobalsolutions.com. This call will also be available for webcast replay on the company's website. Following management's remarks, we'll open the call for your questions. I would now like to turn the call over to Mr. Sean Mansouri for introductory comments.
Sean Mansouri: Thank you. Before I introduce Dale, I'd like to remind listeners that certain comments made on this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time to time in the company's filings with the SEC. We do not place undue reliance on any forward-looking statements, which are being made only as of the date of this call. Except as required by law, the company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. Our presentation also includes certain non-GAAP financial measures, including adjusted gross billings, adjusted EBITDA, and effective margin as supplemental measures of performance of our business. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts and other important information in the earnings press release and Form 8-K we furnished to the SEC yesterday. I'll now turn the call over to Climb's CEO, Dale Foster.
Dale Foster: Thank you, Sean, and good morning, everyone. We continued to execute on our core initiatives during the quarter as reflected by the addition of several new vendors to our line card, while generating more than 30% organic growth with our top 20 vendors. This resulted in another strong quarter of growth and profitability, both up double-digits over the prior year. As I have mentioned in the past, our commitment to a limited and focused line card allows us to partner with the most innovative brands in the market. This past quarter, we evaluated 36 new prospective brands and signed agreements with only three, including a few I'd like to highlight. In this past August, we finalized our agreement with Salt Security, an API Security Company that provides protection platform to prevent attacks using machine learning and AI to automatically and continuously identify and protect APIs. We view the Salt Security offerings as truly next level security for the modern data center. Shortly after in September, we partnered with Beyond Identity, a SaaS platform, which is empowering the next-generation of secure digital business by replacing passwords with fundamentally secure certificates. The Beyond Identity approach creates an extended chain of trust that includes the user device identity logs along with real-time information of devices, security posture and identification. We believe that the cloud-native solution will enable our partners to offer more efficient and passwordless solutions. We look forward to an excellent partnership with the Beyond Identity team. Most significantly during the quarter, we closed the acquisition of Spinnakar, a UK-based IT channel distributor focused on storage, cloud, security and data management across the EMEA region. With a deep executive bench that brings over 40 years of IT distribution experience, Spinnakar adds 50 new vendor partners to the Climb umbrella, most notably VAST Data and it significantly enhances our distribution capabilities in Europe. As of October, Spinnakar has been fully integrated into the Climb operating and reporting structure. And while Spinnakar did not have a material impact on Q3, we now begun to realize the benefits from the acquisition in Q4. I would like to publicly welcome Gerard Brophy and the entire Spinnakar team to the Climb family. Looking ahead, we will continue to be diligent in our M&A strategy as we evaluate new targets, both domestically and abroad with a strong balance sheet and growing pipeline of targets. We can be selective as we pursue acquisitions that will be accretive to our business and align with our culture and strategic goals. Turning to recent changes across our senior leadership, I would like to highlight former Spinnakar's former CEO; Gerard Brophy has taken over as the Chief Revenue Officer for Climb in EMEA. Gerard is a seasoned executive in IT distribution and has a deep understanding of how we differentiate Climb in the marketplace. Additionally, Matt Whitton, will be taking over as Chief Operating Officer for Climb in EMEA, while he continues to head the Grey Matter Solutions business globally. We are looking forward to having Gerard and Matt spearhead our next phase of growth overseas. Finally, as I am sure you've heard and noticed, we rebranded to Climb Global Solutions became effective earlier this week. Our new ticker symbol is CLMB. Growing our brand at scale has always been a key initiative across this business. Given our acquisitions and global expansion over the past few years, the time was right to rebrand our company to Climb Global Solutions. Changing not only our public company name, but our marketing and branding efforts will allow us to promote a one uniform brand that is recognizable to our investors, our customers, our vendors and across the globe. The switch further demonstrates our commitment to a simple and efficient way of promoting our business through our cohesive global strategy. And we look forward to starting the next chapter of the company's history as Climb Global Solutions. With that, I will turn over the call to Drew for our financial results. Drew?
Drew Clark: Thank you, Dale, and good morning, everyone. First, I would like to reiterate the power behind our rebranding initiative that includes a change to CLMB as our stock symbol on the NASDAQ Stock Exchange. As we review our financial results, I want to remind everyone that all comparisons and variance commentary refer to the prior year quarter unless otherwise specified. Q3 results marked our sixth consecutive quarter of double-digit profitability improvements. As reported in our earnings press release, adjusted gross billings, which is a non-GAAP measure, increased 17% to $264.3 million compared to $226.9 million in the year ago quarter. The increase reflects continued growth from our new and existing vendors with limited contribution from our acquisition of Spinnakar this past August. However, as Dale previously noted, Spinnakar is already positively impacting our business in the fourth quarter, which we will be able to further highlight during our next earnings call. In addition, net sales in the third quarter of 2022 increased 11% to $76.3 million compared to $68.9 million. Excluding the negative impact of foreign exchange, net sales actually increased 12% to $77.5 million. Gross profit in the third quarter increased 19% to $13.5 million compared to $11.3 million. The increase, again, was primarily driven by organic growth from our top 20 vendors in both North America and Europe. In addition to the onboarding of new vendors and the impact of several large customers not taking a portion of their early pay discounts, our gross profit as a percentage of adjusted gross billings was 5.1% versus 5.0% and as a percentage of net sales was 17.7% compared to 16.4% in the prior quarter. Now, let me address our SG&A expenses. Total SG&A expense in the third quarter was $9.8 million compared to $8.1 million for the same period in 2021. Total SG&A as a percentage of adjusted gross billings was 3.7% compared to 3.6%. The slight increase in SG&A was attributable to the following: variable commission expense attributed to the increased sales volume, acquisition-related costs that are separately identified on the income statement, acceleration of the amortization expense from our UK ERP also specified on the income statement, and the onboarding of our Spinnakar team which as I mentioned previously, did not have a meaningful contribution in Q3, but will have a meaningful contribution in Q4. Net income in the third quarter of 2022 was $2.2 million or $0.50 per diluted share compared to $2.4 million or $0.55 per diluted share for the comparable period in 2021. I'd like to point out that excluding the negative impact of FX, net income actually increased 6% to $2.6 million or $0.59 per diluted share. There was no material impact from FX in the prior year quarter. In addition, acquisition-related costs of approximately $40,000 reduced our reported EPS by $0.10 per diluted share. Adjusted EBITDA in the third quarter increased 17% to $4.9 million compared to $4.2 million for the same period in 2021. This increase was driven almost entirely by organic growth from both new and existing vendors. Adjusted EBITDA as a percentage of gross profit or effective margin was 36.6%, which continues the sequential growth of the first two quarters of the year. This compares to 37.4% for the third quarter of 2021. However, excluding the approximate $0.5 million increase in foreign currency transaction loss, our effective margin in the quarter was 40.3%. Turning to our balance sheet. Cash and cash equivalents were $24.0 million for September 30, 2022, compared to $29.2 million at year-end, while working capital decreased by approximately $5.7 million during this period. The decrease in cash was primarily due to the acquisition of Spinnakar. In addition, cash and our working capital position was impacted by the previously referred large customers deferring or foregoing payments at the end of the quarter. Payments were still in accordance with contractual terms, but beyond the window to earn an early pay discount. As of September 30, 2022, we had $1.9 million of debt outstanding with no borrowings outstanding under either our $20 million or £8 million credit facilities. Subsequent to quarter end on November 1, 2022, our Board of Directors declared a quarterly dividend of $0.17 per share of our common stock. That dividend is payable on November 18, 2022, to shareholders of record on November 14, 2022. As we look to the end of 2022 and into next year, we remain diligent in our M&A strategy as we are constantly evaluating targets that can enhance our geographic footprint in addition to our service and solution offerings, both in the U.S. and abroad. We look forward to executing on our plan as we closeout 2022 and delivering another year of strong organic and inorganic growth in 2023. This concludes our prepared remarks, and we'll now open it up for questions from those participating in the call. Operator, back to you. Thank you, everyone.
Operator: [Operator Instructions]. All right. So we have our first question coming from the line of Vincent Colicchio from Barrington Research. Vincent, your line is now open. Please ask your question.
Vincent Colicchio: Dale -- yes. Dale, I'm curious, what is your pipeline of new vendors look like for Q4? And do you expect to add a similar number of emerging technology vendors in Q4?
Dale Foster: Hey, Vincent, I'll just give you the insight from our team. We're evaluating and they come to us on a consistent basis. I think the pipeline is still in the high-teens right now. I see -- just far as what I can see right now about one coming on for sure in Q4. But like I said, I think, before, Vince, we're trying to slow it down and just trying to go upstream as far as the -- what we think those vendors can perform at. When that --
Vincent Colicchio: Thank you, Dale. I have a question about the economic backdrop. Any signs of changes in sales cycles or any change in behavior in any of your geographic markets?
Dale Foster: We have not. So if you look at -- last year, we talked about it would slip into the next quarter, but we didn't see contracts or any kind of big orders that would actually get canceled. So we have not seen that as well. It's pretty much all systems go for us finishing up strong in Q3 and actually, we had some good rollover into Q4.
Vincent Colicchio: And a question for Drew. As we look to Q4, should we expect a similar year-over-year growth trajectory in adjusted gross billings and gross margins as a percentage of adjusted gross billings, should we see that improve year-over-year?
Drew Clark: I would say, Vince, that at this point in time, we're very confident that we'll continue to have the increased performance in Q4. We've got some initial visibility in -- as Dale mentioned, no headwinds that we're experiencing either with our customer base or with our vendors. So without trying to really provide too much guidance or direction, I think it's -- we're confident that we're going to continue to have another strong quarter in Q4.
Vincent Colicchio: And one last one for me and I'll go back in the queue. Any changes in the acquisition market from the economy, Dale? Are multiples getting any more attractive?
Dale Foster: Do you want to that one?
Drew Clark: Yes. No, that's fine. I'll take. Yes. Dale has really built a great pipeline. And to your point, Vince, with the strengthening dollar that is getting some pull back now with Canadian and the Euro and the GBP. But we'll continue to be very diligent in our negotiation process. And I think, we'll be able to take advantage of our strength and some of the opportunities where they may be a little more flexible or there may be enhanced negotiations that could be in our favor. But the pipeline modeling is already on the queue right now.
Vincent Colicchio: Okay. I'll go back in the queue. Thanks, gentlemen.
Operator: For second question, it comes from the line of Howard Kroop [ph]. Howard, your line is now open. Please ask your question.
Unidentified Analyst: Great. So nice quarter, again. Dare, I say another boring quarter, which I like. But I got kind of three questions here. The first one on the Spinnakar acquisition. What I see as you close on at August 18. So it'd be like six weeks of this quarter would have Spinnakar in. I'm not kind of confused as to why it would have an immaterial effect. Can you kind of go over what the contribution was from that and the revenue adjusted gross billing and SG&A expense for the quarter?
Dale Foster: [Audio Gap] more about that in Q4 as far as one of the bigger vendors is called VAST Data. If you look at VAST Data on Crunchbase or where you can find what they've raised, they've raised a lot of money. They're in the really high-speed data center space. Some of their customers are considered Wall Street for transactional, high transactional space. So they're going to be very lumpy, Howard, because the deals are very large. If we look back at their history in the last couple of years, we're talking multi-million dollar deals that are coming in. So you'll see them lumpy. Although with some of their brands that they've brought onboard, now they're into our team. And like we said, they're integrated as of October, my full sales team and our sales teams were actually integrated November 1. So everybody has their assignments. We'll really be able to talk about it more in detail at the end of Q4.
Unidentified Analyst: Could you give just kind of a scope on an annual basis? I understand it's lumpy. That's good news because it's coming in the next year. But do you have a scope of the adjusted gross billings or net revenue that you expect to be added from Spinnakar?
Drew Clark: Yes. As we look into Q4, Howard, we're going to add somewhere between just on Spinnakar's performance somewhere between $10 million to $20 million, is a good range right now, much lower than that in the six-week sub period that you referred to, probably slightly over $1 million in adjusted gross billings with a nice GP associated with that. But then we also absorbed approximately 12 team members and the cost structure associated with that. Again, very low operating expense, low overhead costs associated with Spinnakar. So it's an easy almost tuck-in similar to what we did with Interwork out of Canada almost two years ago. But they will be a meaningful contributor in Q4 and into next year. And as Dale mentioned, with some of their vendors, a much higher margin profile, which is nice. There is going to be this lumpiness of the curves because of the cycles of these data center sales. But also to Dale's point, as we cross-pollinate their vendors with our team and vice-versa, we think that they'll have some additional contribution associated with our growth in Q1 and beyond for 2023.
Unidentified Analyst: Okay. Great. And the SG&A contribution from Spinnakar, what -- of the increase in Q3, how much of that was from Spinnakar? And do you see obviously, for a full quarter and fourth quarter, how much more will come from that?
Drew Clark: I think the net impact on SG&A was about $400,000 from Spinnakar. And then, if you looked at the M&A cost and you looked at the increased amortization expense, which was really when we acquired CDF over in England, they had an investment in their ERP that they implemented. We had an expectation of its useful life. Now with our new ERP implementation, we've reduced that useful life period down. So you'll see that increased amortization expense also in Q4 and Q1 of next year and then it will be fully amortized as we implement the new ERP. And then I don't have an exact number on the increase of variable comp associated with our commission expense, but that was a meaningful piece of the SG&A growth.
Unidentified Analyst: Okay. Great. Thanks. Very helpful. Second question on foreign currency transaction loss and I understand the dollar has been strengthening. But it's two quarters in a row where that's hit fairly materially in expense line. If the dollar stabilizes where it is, is that -- go away in Q4? Or have you looked at hedging that so we don't get whipsawed by the foreign currency actions. But -- what's your thought on the foreign currency transaction loss line and looking forward and what you can do to offset that?
Drew Clark: Sure. Howard, great question. And you're right; unfortunately, we did have the whipsaw effect of both sterling against the dollar and Canadian dollar against the U.S. dollar. We didn't have a full hedging strategy in place, and we suffered the results. I will tell you this. Of the $500,000 identified as a foreign currency translation loss in Q3, only $85,000 of that was actually realized from settled contracts either on the vendor or the customer side. So again, you've got $415,000 that is just recorded, but not recognized, and that will decrease, already is going to change in Q4. So we're hesitant to try and go into a more deliberate hedging strategy as the dollar continues to sort of pull back against GBP and Canadian dollars. But you'll see actually a positive impact most likely in Q4, and then we'll see what happens in 2023.
Unidentified Analyst: Okay. Great. And then finally, more on the positive future outlook side, Dale, last time you talked quite a bit about -- last conference call, you talked about acquisitions and your appetite for. At this time, didn't talk about it much. What do you see -- I mean, you've got a phenomenal underlying organic growth rate here. Your top vendors are producing and you've got new ones coming online. Clearly, it seems to me at least that you don't need to do acquisitions to hit your top-line revenue, but acquisitions, especially accretive ones like you're doing add to it. What is your kind of your appetite for it? What do you think about your ability to digest more acquisitions? And the difference between the organic growth rate and any acquisition, inorganic growth that you forecast for the next several years.
Dale Foster: So we're going to be opportunistic. Our appetite is very strong for acquisitions. We can be selective, as you've seen us be selective. And I guess the nice thing about Spinnakar is we were able to get them onboarded very quickly into our systems. And then as we go to newer ERP in the West, everybody will come on to one system middle of next year. So the pipeline, like Drew said in the statement that it's still a strong pipeline and still growing of who we're talking to. And just going back to the Spinnakar piece and why besides VAST Data and some of their lines coming over, they're located just outside of London. And one of the things we lacked over there, we were great at having vendors for a long time, they're producing and getting really entangled with those vendors -- with those vendors. But what we lack -- just like we lacked when we came here five years ago is a vendor recruit team, so now we have that team. We have the U.S. one and with Gerard. He comes from the world of exclusive networks, one of our competitors in big tech. He will be our go-to recruit person for vendors and also betting the ones we have. And we're going to -- you'll see a strategy that we really don't get into the long tail of all the vendors that we actually transact with. That long tail is being pushed to our Climb Elevate team. We'll have the exact same thing in the UK and Europe will be Climb Elevate, where we will push those vendors down and really focus on our top 40, which bring in over 90% of our revenues. So still a strong appetite, a lot of good targets, like we said, some in the U.S., mostly in Western Europe and we'll continue to be selective as we go-forward.
Unidentified Analyst: Great. Congratulations again on another outstanding boring quarter. Exactly, what I'd like to see and wonderful in today's markets to see your performance. Thanks.
Dale Foster: And Howard thanks. I appreciate that. And you don't have to use Wayside anymore and that kind of stuff. So I appreciate it.
Unidentified Analyst: No, I love the name change. I think you mentioned it over a year, maybe two years ago. I'm glad you finally got to it and continue to make great progress with the business more importantly.
Dale Foster: You got it. Thanks.
Drew Clark: Thanks, Howard, from your favorite executive boring team.
Unidentified Analyst: Great. Thanks, guys.
Operator: Right. Sir, for your next question, it comes from the line of Casey Olka [ph] from INFY. Casey Olka [ph] your line is now open. Please ask your question. Once again Casey Olka [ph] from INFY your line is now open. Please ask your question. All right. We're moving on to next analyst. So we're getting question from Vincent Colicchio from Barrington Research. Vincent, your line is now open. Please ask your question.
Vincent Colicchio: Dale, I have a question about the Solutions business, a relatively small business but an important component of your business. Curious how it performed in the quarter? And then given your pipeline of acquisitions and organic expectations, should we expect Solutions to increase as a portion of the mix in 2023?
Dale Foster: We do. And we saw this question in meetings in the last couple of weeks, we talked about a Solution piece, and that is the Grey Matter. And I would also like to include the cloud know-how because that's our team that those services were expanding what their capabilities are, and they're actually going to support it in the U.S. with some of our vendors from first and second call support. So the nice thing about our Solutions, and you know this, Vince, from knowing the market is the margin profile is almost double what we do on the distribution side. But if I look at my Grey Matter team, they all -- 70% of the business comes from selling to ISVs, which we would consider almost like resellers or MSPs and they do sell to MSPs. So that's definitely an area that we're going to invest in on that team, and we've got potential targets to enhance that team both U.S. that you'll see coming and then abroad as well.
Operator: All right. Presenters, there are no further questions at the moment. I would now like to turn the conference back to Mr. Dale Foster for closing remarks.
Dale Foster: Thank you, operator, and thanks, everyone for joining us on the call today also to all of our stakeholders as we go into Q4, we look for another strong finish to 2022, and I appreciate everybody's support. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.